Operator: Good day, and welcome to the Roivant Fourth Quarter 2024 Earnings Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] As a reminder, this call maybe recorded. I would now like to turn the call over to Stephanie Lee. Please go ahead.
Stephanie Lee: Good morning, and thanks for joining today's call to review Roivant's financial results for the fourth quarter and fiscal year ended March 31, 2025. I'm Stephanie Lee with Roivant. Presenting today, we have Matt Gline, CEO of Roivant. For those dialing in via conference call, you can find the slides being presented today, as well as the press release announcing these updates on our IR website at www.investor.roivant.com. We'll also be providing the current slide numbers as we present to help you follow along. I'd like to remind you that we'll be making certain forward-looking statements during today's presentation. We strongly encourage you to review the information that we have filed with the SEC for more information regarding these forward-looking statements and related risks and uncertainties. And with that, I'll turn it over to Matt.
Matt Gline: Thank you, Steph, and thank you, everybody, for listening this morning for our fiscal year-end conference call. Good morning. So I'm going to start in the deck here on Slide 5 by saying it's hard to believe this actually, not only has it been a very impactful fiscal year, but this is the reporting quarter in which, for example, we generated the data for Batoclimab in Myasthenia Gravis and CIDP. So it's been a very busy six months for us to start off at 2025. 2025 is just a really important year for our business, starting with the data we've already generated, which we think sets us up for a best-in-class potential franchise in anti-FcRn world with IMVT-1402, first-in-class and a number of indications such as Graves’ disease and potentially best-in-class. We think anywhere that we are going to play. Upcoming and one of the most important events of the year in the second half is the registrational data from our – potentially registrational data from our study of Brepocitinib in dermatomyositis, which is a study we are super excited for. It's a patient population with high unmet need. We would be the first novel oral DM drug and have pretty long lead time over really any other late stage program. So looking forward to sharing more about that both today and in the near future. And then finally, this is a really pivotal year among other things for our LNP litigation with Moderna and Pfizer/BioNTech. We are currently in a narrowing and summary judgment phase of that trial. And upon the completion of that phase, we expect to move to trial in the relatively near future. So an incredibly important moment for that as well, that's another Moderna case. On Slide 6, we say this every time we get on the phone, but I am incredibly proud of our late stage pipeline here. First with Brepocitinib, which obviously has the potential to be and on market therapy as soon as within the next couple of years with this data coming into Dermatomyositis with IMVT-1402, actively enrolling multiple potentially registrational studies across or pivotal studies across multiple indications where we either already know or strongly expect FcRn antibodies to matter quite a lot. We also have mosliciguat our inhaled therapy for PH-ILD with data expected to coming next year. And obviously for those who follow our story ongoing BD with multiple possible pipeline expansion opportunities as well. On Slide 7, we are in a period of just significant clinical execution and progress here in really all of our main clinical franchises with 1402 and additional cleared IND 5, potentially registrational studies ongoing, one proof-of-concept study initiated in CLE. And in the next coming years, potential for, yes, six plus indications each with potential multi blockbuster launches obviously in Brepocitinib among other things in 2025. We initiated our study in cutaneous sarcoidosis, we roll later this year, readout the Dermatomyositis study. And again, with the potential in 2026 and beyond for a multi-blockbuster orphan franchise anchored by launches in DM and NIU more about that in a minute. And then, as I mentioned before on mosliciguat, we've got the PH-ILD study enrolling nicely at this point and we believe that program could be positioned in frontline use for PH-ILD and potentially other respiratory diseases. On Slide 8, and I don't want to say too much about this yet because we haven't actually generated the dermatomyositis data yet. But on a thematic point that I expect, we will talk more about if that data meets our hopes and expectations. This is really the beginning of a pretty stacked 36 months for us in terms of data and launches with multiple launches in potential blockbuster indications, first for Brepocitinib, and then for our FcRn franchise in a way that we think adds up to one of the most exciting commercial portfolios potentially in I&I over the next couple of years here. So really looking forward to that flow and excited for DM as the sort of first domino, again fingers crossed or knocking wood, or whatever you do if you're superstitious, that that data does what we would like it to do. On Slide 9, I guess last overall framing point before I talk about some of the specific programs is, I think one of the things that Roivant has been very focused on over the last couple of years, obviously, since the cash and flow from the sale of our [indiscernible] antibody has been thinking critically and carefully about capital allocation. And we feel very good about where we are right now. We are set up as we've set before to capitalize Roivant to profitability, again with just under $5 billion in cash on the balance sheet today supporting the current pipeline to profitability with about $2 billion still in reserve for pipeline expansion and deployment on BD opportunities. And that's against the backdrop of having repurchased already $1.3 billion in our own stock as of 03/31/2025. That's reduced our share count by not quite 15%. And that capital return continues on the existing share repurchase authorization, and we continue to think critically about what to do from a capital return perspective thereafter given our balance sheet. So, again, really excited about what we've been able to do from a capital allocation perspective and excited for the capital position that we are in, particularly in what we acknowledge is a very challenging market for many of our peers and for the industry. Great. So with that as framing comments, I just want to spend a little bit of time on a couple of the key events for this year, starting with Brepocitinib, where I do mean a little for a reason, it become obvious in a moment. So on Slide 11, just as a reminder, what we are really focused on for Brepo is indications with high unmet needs that are tailored to our specific novel mechanism with Dual TYK2 and JAK1 inhibition. The announced indications so far, or DM with the readout that I've talked a lot about already, NIU, which is actively enrolling in our Phase III program – in our pivotal Phase III program where we think there's a very high overall opportunity and very few other therapies approved. And then our proof-of-concept trial and cutaneous sarcoidosis. We are, as you might expect, also investigating or exploring other areas in which we might like to develop Brepocitinib. And you can potentially hear more about those in the coming months. We feel we've rapidly expanded on this opportunity from when we've actually – we first initiated the DM trial in 2022 at the same time through a concept study in NIU. And since then, we obviously readout that NIU study initiated the pivotal program, and NIU got going in CS and are now set up for the upcoming readouts, three of which the pivotal and DM, with pivotal and NIU and the proof-of-concept in CS are coming within the next, call it 18 to 24 months. So, again, a really exciting year for Brepocitinib. So much [indiscernible] and there's details on the next slide. On Tuesday, June 17th we are going to hold an Investor event, a sort of mini R&D Day where with the Roivant team together with the Priovant leadership team, Ben Zimmer, CEO of Priovant, we'll get together and we are going to do a little bit of DM disease education and some details on the trial design for the ongoing trial because we hope and expect that people will be watching for that data later this summer. And we want everyone to have a clear frame of reference for what to expect as it comes around. And obviously we've been excited to watch general progress in that field in recent weeks and months as well, and are pleased with our positioning both from a timing and structure perspective. So given that we are reserving time for Brepo in the future, that's all I'll say about it on this call, but stay tuned for more on that – on that future call. Next I'm going to talk a little bit about Immunovant and the recent developments in our anti-FcRn antibody franchise. As a reminder this call also effectively serves as the Immunovant conference call for the quarter and the year, as they are not doing their own IR activities right now. So look, I think everyone is familiar with the overall sort of structure of this story right now. But on Slide 14, we really think we have a tiger by the tail in IMVT-1402. We think it's a potential drug that has an opportunity to be a first and best-in-class anti-FcRn across multiple indications. We think we get IgG lowering up to, call it, 80% or below 80s in studies that is matched with or at the most robust IgG lowering observed not just, frankly, in anti-FcRn antibodies, but across the field of IgG lowering therapies with a favorable safety profile that we think gives us overall clean differentiation. We have a great convenient administration with a market-proven friendly auto-injector device that will be used at launch. We have data that we think validates deeper IgG suppression mattering across multiple indications. Obviously, we felt strongly that the evidence generated in our MG and CIDP studies were constructed to that end. And also, we've got data in Graves. We've got our own data from Phase II with TED, and we've seen it in multiple other places that there's a clear clinical benefit for patients for whom you can get IgG reduction over 70%. And we hope and expect to continue showing that in our ongoing global programs. And then we just had a lot of ongoing clinical progress across multiple indications, ones I've mentioned as well as the ongoing studies in D2T fourth line rheumatoid arthritis in children's where we have program we expect to start this summer in CLE indications that we've talked a lot about in recent months because we just announced them actually about five or six weeks ago. And then as a reminder, the IPF [indiscernible] 2043, so quite long franchise as well, and that's not including any [indiscernible]. Our indication strategy from a prioritization perspective on Slide 15 has been first and foremost, indications where we feel confident we can be both first and potentially best-in-class. Obviously, the most obvious example in that category is Graves' disease where we believe we've helped the field understand that is an interesting market with a lot of earning opportunity with a lot of unmet patient need. We think we are out in front there in terms of working with that field, working with those physicians, working with those sites, and we expect and are working hard to maintain that position of scientific leadership. And then we've also got our ongoing programs in D2T RA cutaneous lupus, where we feel like we are first-in-class in the FcRn field as well. Then there's a category of indications where Sjogren's is probably the best example, which I call nearly first-in-class indications where we believe with good execution, we can minimize the time gap between us and our competitors, while maintaining a potential for a differentiated profile driven by best-in-class IgG reductions. And finally, there's the sort of triage to known indication space like MG, and CIDP, which we acknowledge our competitors, which are well established, where Vyvgart, for example, is a well-loved drug in MG, but where we feel like we have potential to differentiate on efficacy and clinical benefit. And I was pleased to see, for example, in the last few days that some of the nice patient organizations are encouraging physicians to think about deeper response measures like MSE as the future of treatment for those patients and where we think we can take a leadership position given the profile of 1402. So tremendously excited about the way we are thinking about indication prioritization. And I think you can imagine if we are going to announce more programs over time, that will roughly follow this sort of prioritization in hierarchy. On Slide 16, and we've ambitiously called this slide settling the deeper is better debate. I think in our minds, we feel quite confident at this point that deeper IgG suppression across indications is going to yield meaningfully better clinical benefit. We've seen it on this sort of less than 70 greater than 70 IgG reduction cut point where we've divided our data in multiple indications. We have consistently seen deeper and better responses that includes in our Graves' Phase IIa data for Batoclimab, where we had 60% of patients effectively off ATDs in the over 70% cohort compared with just over 20 off ATDs. Again, these are all patients who have normalized T3 and T4 and depending on IgG cut off. We saw over 50% of patients with minimal symptom expression effectively with clinical reemission in myasthenia gravis, the over 70% cohort versus just under third and the under 70% cohort and likewise in CIDP and aINCAT we saw a significantly different response to rate in the deeper IgG responders bucket than in the lesser IgG responders bucket. So we really do feel like this is a consistently demonstrated hypothesis and we think the high dose batoclimab and most importantly high dose IMVT-1402 drives the vast, vast, vast majority of patients into that over 70% bucket. So we think this is representative of what we maybe able to deliver as a clinical benefit in those patient populations. So we feel very good about what we have in terms of the profile of the molecule given this data. On Slide 17, we do feel like we've set some new benchmarks for efficacy in our MG and CIDP data, in MG both on an absolute MG-ADL improvement as well as on other measures. We think we've shown some of the best observed absolute improvement. And then, frankly, the best placebo-adjusted MG-ADL improvements on things like MSE, where we are putting patients against these sort of deeper, more durable response goals. So we feel really good about what we are going to be able to deliver in MG with 1402. We are really excited about what we've seen in the available data pooled due to the ongoing study in CIDP. And then obviously, Brepocitinib has been consistent with its prior studies in terms of overall tolerability. So a really strong position in terms of what our data has put out here. One point to make, and this is really sort of more specific to MG and maybe some of the comments we've seen from patient groups recently as well is we believe that the MG field is going to progress from here in a way that is similar to what we've seen in other indications, particularly in immunology, where you go from sort of first generation early therapies that just look at overall response rates, improvement in a physician global assessment in psoriasis or relatively low relapse rates in MS or MG-ADL response rate in MG. Once you get to the first generation of innovative compounds, people start talking about remission rates, PASI 75 and higher EDSS and MS the higher ACR rates in RA and in the case of MG we think MSE sort of the next generation here of what people are going to look at. And then as we get to the future here, people looking at PASI 100 in psoriasis for complete – effectively complete clinical cure rates. Same thing in MS, no evidence of disease activity. And we think people are looking at deep and durable responses. Many weeks or many months durability to MSE after therapy is the kind of thing that we think the field is going to move towards in MG. And we think we are in a privileged position to lead the FcRn category given those kinds of end points going forward. You can see on Slide 19, for example, in the batoclimab MG study, maintenance of minimal symptom expression for greater than or equal to six weeks, this is the chart on the bottom right-hand side of Slide 19, you can see a high dose batoclimab, where we were getting those deep levels of IgG suppression. You had 75% of patients maintaining that status for six or more weeks, which we think is the kind of endpoint. By the way 93% of patients achieved their clinical response. We think this is the kind of data that is going to move the market in terms of what patients are looking for in an MG treatment. And so we are excited to focus on those kinds of endpoints in the ongoing Phase III program or again the ongoing pivotal program in 1402. On Slide 20, just as a brief reminder because we spent some time on this on the most recent call, we've now initiated programs in Sjogren's and in CLE, indications of Sjogren's, an indication where we think we have potential to be, as I said before, nearly first and best-in-class in a large market with a large population and a high unmet medical need with some good evidence autoantibody driven disease. And with clear dose response data from nipocalimab showing the deeper IgG suppression seems to matter. And then in CLE, again, with a fairly large market, obviously, some good recent data from the field there, with 75,000 addressable patients uncontrolled on standard of care therapy and with a relatively well identified CLE specific IgG autoantibodies that are part of the disease presentation. So we are excited about the data we are going to generate there next year. And we obviously have that principal case study data. We've already shown for patients who were the first patients in any disease dosed with IMVT-1402 with data reported. Finally, just, two quick things on Slides 21 and 22 here. One is these are both [indiscernible] clinical trials.gov in near future. Slide 21 is the design of our potentially registrational trial in CIDP for 1402 which is a different design than the first generation of studies that folks like our competitors have run or even that we ran for batoclimab, but clearly sort of pretty much in line with where we see the field going and a study that we think gives us a real opportunity to put out some great data in a patient-friendly format and a design that we think investigators are pretty excited enrolling patients into as well. And then on Slide 22, you can see the design for our second study in Graves' disease, which is now up and running, which will be enrolling patients quite soon. And so that design also is now public. And you can see some of the features here notably although it's not sort of hit you on the face obvious in the design. One of the things we hope we will get from both of these studies at this point based on our standing of the patient population, is some clear information about the impact these drugs are having on proptosis and the progression into TED-like symptoms. And so looking forward to generating that data in these studies as well. On Slide 23, I won't go in great detail, but this is just rehashing. We feel really, really great about the overall portfolio of indications that we are studying with our FcRn franchise, including just a very large overall potentially addressable U.S. patient population over 600,000 patients with a pretty meaningful subset of those patients existing in Graves disease which is our sort of lead indication, where we feel like [indiscernible] to truly define that opportunity and to be the first out there helping patients. Absolutely, jam-packed a couple of years ahead as I led with earlier on Slide 24 in terms of data that we expect to generate obviously, including remission data that we generally going to put out this year in Graves disease from batoclimab studies, the potentially registrational topline data coming in TED and batoclimab in second half of this year and then starting next year, a ton of data from 1402 including the open-label period one results from D2T RA study, the CLE study next year and then potentially registrational data in multiple indications including Graves and myasthenia gravis in 2027 and Sjogren's and CIDP. So really tremendous couple of years ahead, Eric, in his early days in the role of Immunovant really excited about seeing what he's going to deliver there. I think the team over Immunovant just super energized to deliver a meaningful product that's going to help patients a lot I think. Finally, in terms of business updates on Slide 26. Just a reminder that this is a really important period for LNP litigation. We are in effectively the summary judgment phase of the trial. Part of that, which was expected from the beginning is this is a normal process of narrowing the scope of our claims and Moderna's defenses and the trial that process is ongoing, and we've had some discussions with the judge about making sure everyone gets that right. Immediately following that summary judgment motion should be going in. And then we'll be sort of at a pending U.S. jury trial. The date is at the moment, TBD, but looking forward to all this progressing in the near future. And then finally, starting next year, we'll have the beginnings of our international trials and litigation that we filed just a couple of months ago. The Pfizer case continues to be ongoing. We are awaiting the Markman ruling, which we think could come this year in the case. So looking forward to all of that. So I'll now just wrap up quickly with the financial update. I won't read all the numbers on Slide 28, but a pretty normal solid quarter for us from a financial perspective, obviously, just under $5 billion in cash. As I mentioned, with no debt on our balance sheet as of 03/31, and we continue to reduce share count over time. Overall sort of net use of cash for the quarter, including everything in terms of net interest income and the sort of pull to par on our treasury securities is about $150 million, a little more than $150 million, between $150 million and $160 million. And so I think as a quarter for the business thinking about the business on its own, that's probably like a pretty normal quarter. Obviously, first quarter tends to be a little bigger for us and then 1402 starts to ramp up over the course of the year. But we're overall feeling good about what we're able to do in terms of the cash utilization and capital allocation framework as I mentioned earlier. I'll wrap up on Slide 30, just by saying we have an incredibly data rich year or two years, three years ahead of us. And look, there's nothing in our business like putting out data that matters to patients. So looking forward to all of the events and to talking to you all as part of that. So with that, I will wrap up my prepared remarks. Thank you again for listening, and I will hand it over to the operator for Q&A.
Operator: Thank you. [Operator Instructions] Our first question comes from Brian Cheng with JPMorgan. Your line is open.
Brian Cheng: Hi, Matt. Thanks for taking our call this morning. First, on DM, I assume that you touched on this a little bit more at your event next month. How should we think through a win scenario in DM in the back half? And can you tell us a little bit more on what we should focus on at your events focusing on [indiscernible] next month?
Matt Gline: Yes. Thanks, Brian. And by the way, I pointed out, I said later this summer on DM data, what I meant was later this year. I think we said second half of that data, it should be sort of sometime early fall probably. Look, I think in terms of what we're looking for in the DM study, and we've been pretty consistent on this point. I think what we need to win DM is a positive study. We need statistically significant separation from placebo on TIS and a P-value. And the reason I say that is, look, first of all, this is a patient population with very high unmet medical need. The only real novel approved therapy is IVIg, which has a lot of liabilities associated with it. It's a patient population that is eager for new therapeutic options. It's a physician population that understands our mechanism and is excited for what we can do and so we feel like we are primed for a successful study really being the goal in terms of what winning looks like. So I think that's it. I think there’s a lot of great properties of JAK and TYK2 inhibition, speed of onset, et cetera, that we hope will show in the data. But I think success really here is about a positive study. And remember that the safety and tolerability profile of JAK inhibitors is well understood. So I think we should be sort of coming in within expectations there. In terms of what to focus on the event next month. I think the truth for us is because it has been such a busy 24 months in our business, I think the irony of it all is, although this is a potentially registrational readout that it is in some ways, flown under the radar a little bit. And so I think most of what we're hoping to do just to make sure everyone is on the same page about what dermatomyositis is about what the end points are in the study, how measuring them, how JAK inhibition works and how we see the commercial opportunity and to give the world a chance to hear from Ben and his team who are actually running that study, in advance of the data that comes later this year. So I think that's what we're looking for in the events. I think, again, really in part, in particular focusing on just the high quantum of unmet medical needs in DM patients. Thanks, Brian, for the question.
Brian Cheng: And maybe just one quick follow-up on the LNP litigation against Moderna. In a recent docket update there is an update related to potentially narrowing the case based on a number of patent claims. Can you shed some light on what that potentially could mean and what is the potential next milestone actually regarding the potential case narrowing? Any color that you can provide would be super helpful.
Matt Gline: Yes. Look, I think it's hard to comment on ongoing litigation any specificity, but it is a normal part of patent cases that the number of claims gets narrowed before trial. Remember these are jury trials. So ordinary people are on the other side of the court, and you want to make sure that you are presenting a case to them that is circumscribed in a way that everybody in the courtroom can get through in a reasonable amount of time. And so that's the phase we're in. The way it works is that we discuss with Moderna and with the judge, and we agree on what the narrowing of the case is going to look like. And so I think the parameters of that will be evident in the relatively near future, but mostly I think that there's nothing much that's like interesting or important coming out of that narrowing. And you can imagine we're focused on presenting our best possible case and presenting it in the cleanest and most straightforward way.
Brian Cheng: Great. Thanks for taking our question.
Matt Gline: Thanks, Brian.
Operator: Thank you. Our next question comes from David Risinger with Leerink Partners. Your line is open.
David Risinger: Thanks very much. Good morning, Matt and team. So congrats on the progress and updates. I have two questions. First, could you please comment on the pending Pfizer LNP litigation Markman decision, which seems to be taking a little longer than expected? And then second, ahead of 1402 registrational trial results in 2027 and 2028 could you provide a framework for the two, 1402 readouts in 2026 specifically the open-label, difficult-to-treat RA trial and the Phase II CLE trial? Thanks very much.
Matt Gline: Yes. Great. Thank you. So on the pending Pfizer Markman decision, the truth of the matter is that the judge in that case, and in every case, has the discretion to issue the Markman opinion on a timeline of their choosing. As you'll remember, the Moderna's opinion was issued in a couple of months on a timeline the judge had set for himself publicly at the outset. So we don't know when the judge will rule on the Markman decision, but given the issues at hand and so on, I think again, we're sort of hoping and thinking it may come, it may come later this year and hopefully soon, but again, it's not something we want to control over. I don't think there is any signal to take in the timing of that opinion. I don't think there's really any information coming in that. On the other question, look, I think both of the readouts in 2026 are designed to be informative on what would cause us to carry the program forward. I think they're pretty different situations, right? In the sense that the CLE study will be the first time anyone's generated in placebo controlled CLE data in FcRn. We obviously have a fair amount of information from competitors in the field. And so I think we will look at the balance of evidence, including the safety and convenience of FcRns, the quality of that data, and what other people look to be generating in making decision on whether to progress to pivotal program and data. I think pretty normal. The D2T RA data look, that is an open-label run-in period to what would ultimately be if we carried it forward one of two potentially pivotal studies in the indication. And so I think, on the one hand it's a bigger study with more information. There isn't a placebo. And so it's a little bit of a different setup. That said, I think we're wide open on what the RA market is, both for the good and for the challenges, and I think we're looking for data that gives us a clear signal on progressing. Thanks, Dave.
David Risinger: Got it. Thanks very much.
Operator: Thank you. Our next question comes from Dennis Ding with Jefferies. Your line is open.
Dennis Ding: Hey guys, good morning. Thanks for taking our questions. I just had two, mainly around DM. So how are you planning to position brepo if it’s approved? If the goal there is to be pre or post IVIg, what types of patients do you consider to be the low-hanging fruit? And then as a follow-up to that, can you also frame how often off label JAKs are using DM. And if you expect any kind of pent-up demand, they are given familiarity with the mechanism if brepo is eventually approved? Thank you.
Matt Gline: Yes. Perfect. Thanks. And look, obviously these are great questions. And I expect to, I'll give a brief answer now, but I expect to cover both of these issues on June 17th in detail. In terms of how we're positioning brepo, I'll just say I don't think we are particularly focused on a specific subset of the market. I think we do that entire market as addressable here. And I think bluntly, many of the patients are low hanging fruit, given the lack of options. Again, I think you'll hear more about that from Ben. And then there are hundreds at this point of case reports, on the use of JAKs in DM. And so I don't know if I'd literally call that pent-up demand. So much is really, really good physician familiarity. There's been now three investigator initiated trials. There are 600 plus case reports under dermatomyositis. Again, Ben, we will cover all of this in pretty great detail in a couple of weeks. So I'm really looking forward to that. There are over 30,000 patients currently being treated for dermatomyositis. And so we think there's a ton of addressable opportunity. And by the way, broadly, we think the sort of safety and tolerability profile in JAK inhibitors should compare favorably to that of IVIg. So anyway, with that, more to come on that in just a few weeks here. Thanks, Dennis.
Dennis Ding: Thank you.
Operator: Thank you. Our next question comes from Yaron Werber with TD Cowen. Your line is open.
Yaron Werber: Great. Thanks so much and congrats on the really nice progress. I have a couple of questions on brepo. Give us a little bit of a sense, what are you expecting our consultants and all work, and I know many people have done work here are pretty positive on this asset. The question that we get from investors is what to expect in the placebo arm, just given there aren't a lot of historical randomized sort of small molecule studies. So number one, what do you expect from the placebo in the study? And then secondly, so you have about $200 million left under the stock buyback. Is that something you'll take care of quickly? And is there contemplation to open another buyback? Thank you.
Matt Gline: Yes. Thanks, Yaron. Both good questions. On the buyback question, Richard is going to add here. But I think you can imagine we're continuing to use that and happy to continue to use the existing authorization. I think once we conclude the existing authorization, we'll take a look at our overall capital picture on the market and make decisions on where to go from there. Anything you'd add, Richard?
Richard Pulik: No, I think that's exactly right.
Matt Gline: Great. And then on the placebo arm and DM look, I agree that that is a reasonable question. And certainly in immunology studies in general it's something that people have to focus on. Obviously TIS as an endpoint has various properties that make it fair, fair to ask the question I'll point out two things. One is well really one thing, which is that we now have the published data in abstract form from the Vyvgart myositis study, different patient population that's across multiple myositis types. But at 24 weeks they saw whatever, a 30 to 35 point TIS that's without a steroid taper that we have in our study. That's 24 weeks, our study is 52. I think it was nice to see in that study a relatively well-behaved placebo, nice separation for the drug in a nice low P-value. And so I think that's the sort of thing that is encouraging. But I'll bite my nail through the readout just like anyone would in our position. Thank you.
Operator: Thank you. Our next question comes from Sam Slutsky with LifeSci Capital. Your line is open.
Samuel Slutsky: Hey. Good morning, everyone. Thanks for taking the questions. On the 1402, just looking at the treatment duration in your registrational Graves' disease studies, looks like one has a 26-week treatment period, and the other allows kind of up to 52 weeks before the off treatment follow up period. Just kind of curious on how you're thinking about the typical duration of treatment in the real world for Graves, would that be restricted or could some patients be treated kind of post 52 weeks possibly?
Matt Gline: Yes. Thanks, Sam. It's a great question. I think the first thing to say – well, a few things to say. One is this is now a competitive deal. And so I think we're focused on our competitive differentiation, and we have more data than anybody else does to inform the design of these studies because we have the batoclimab Phase II data. It's definitely the case that Graves' disease is chronically treated now and that many patients are on long duration methimazole. In fact, one of the things that is a focus for us is patients who are uncontrolled despite being on long duration methimazole therapy. And so I think there is certainly a possibility for chronic therapy as with many other autoimmune diseases. Obviously one factor that goes into this is the possibility of clinical remission, which is something that happens in a subset of patients who are able to get controlled on methimazole. We are putting out data at some point later this year or expecting to on our own clinical remission from the batoclimab study. And so I think that'll be important. Obviously, until there are novel therapies in Graves' disease, the exact treatment paradigms are uncertain. But I think there's certainly an opportunity for chronic therapy, and I don't think anything about our study leaves us with an expectation of like an on-label limitation of duration.
Samuel Slutsky: Okay. And then just quickly too, obviously some patients with uncontrolled Graves' disease will have thyroid eye disease in the real world. You obviously have the batoclimab Phase III readout later this year, but just kind of what makes the most sense commercially to optimize on this ability for FcRn to work in both diseases?
Matt Gline: Yes, I think the studies that we are running in Graves are optimized to give us a lot of useful information and data to share in various forums including potentially on label, depending on how we design the final test point of things like that around proptosis, the development of proptosis in active Graves patients the time to develop proptosis, the amount of proptosis that people come into the study with and develop and how it sort of evolves over time. And I think being able to go out to this patient population and talk about that we think will be a helpful part of the overall treatment landscape.
Samuel Slutsky: Awesome. Thank you.
Operator: Thank you. Our next question comes from Yatin Suneja with Guggenheim. Your line is open.
Yatin Suneja: Guys, thank you for taking my question. Just two for me as well. First one is on the TED study. I understand that is not sort of a indication that you might take forward, but you still describe that as a potentially registrational study. So what are the expectations, what are the plans in TED? Could they change once we unblind those data? So that's one. And then if you can just help on the modeling side, how should we think about the spend in 2026? Thank you.
Matt Gline: Thanks. Yes, and I appreciate the question. Look, on TED, Roivant has always committed to being a data-driven organization, so we're going to make final decisions on the batoclimab and TED once we see that data. And the study is designed to be potentially registrational. Obviously we are focusing an enormous amount of our effort on 1402 given its clinical profile. I think that's kind of where we sit on TED and on batoclimab overall. In terms of spend in 2026, Richard, do you want to take that question?
Richard Pulik: Yes. So look, I think we – as you heard from now, we had roughly 150 in cash used this quarter. That'll ramp up a little bit as 1402 starts. And then depending on how the DM data looks like assuming that's positive, you can then assume that we're going to put a little bit of power behind launch activities and pre-launch activities. So I think that's – you'll see a little bit of spend on the SG&A side as that moves forward, but not significant changes beyond that.
Matt Gline: Thanks, Yatin.
Operator: Thank you. Our next question comes from Douglas Tsao with H.C. Wainwright. Your line is open.
Douglas Tsao: Hi, good morning. Thanks for taking the questions. I'm just curious, Matt, so far in the FcRn space, you've obviously seen companies sort of coalesce around sort of some core indications, MG, CIDP as we potentially see other entrants and other companies looking at sort of IgG lowering strategies with FcRns or other modalities, we're starting to see more competition. And I'm just curious how you're thinking about pricing because there will obviously be much greater variability in terms of the sort of size of indications, right? Yesterday, one of the competitor with the greater program sort of talked about pursuing Graves. And so I'm just curious how you're thinking that could influence pricing and your thought around sort of pursuing orphan indications versus more prevalent indications. Thank you.
Matt Gline: Yes. Thanks for good questions. I was tempted to go into a little vignette here of like, imagine it's 2005 and someone gets on the phone and they're like, well, you know, obviously so far the TNF space, people have focused on a couple of indications, rheumatoid arthritis and maybe psoriatic arthritis. And to point out that, look, I think we're really just at the beginning in terms of focus, and I think this is going to be quite a broad field across companies in the coming years. And I think that's sort of the point you're making in terms of the explosion of indications that is ongoing. Look, I think we have a lot of flexibility around pricing strategy for multiple reasons. We obviously have the ability to deliver a couple of different doses. On the one hand variability around some of the size of these indications. On the other hand, I think that a lot of FcRn indications have in common is this is a relatively new biology tent, and there have not been a lot of other therapies that can address these kinds of diseases. And frankly, in the cases where there have been there's a pricing ban that we think is like generally compatible with the FcRn pricing that's been currently set by our competitors. So I think there's a lot of opportunity. Obviously final pricing decisions are going to depend on the exact order in which we launch indications and on things like the quality of our emission data and Graves and so on. But overall, I think we have a lot of flexibility. And I think despite the apparent variability here, I think the concentration of indications in patients with unmet need here fit pretty nicely together in terms of promotional models.
Douglas Tsao: Okay, great. That's helpful.
Matt Gline: Thank you very much.
Operator: Thank you. Our next question comes from Prakhar Agrawal with Cantor. Your line is open.
Prakhar Agrawal: Hi. Thank you for taking my questions. So going back to DM and the placebo response, obviously there is variability on the test endpoint, and Matt you have talked about the steroid tapering that can be done to mitigate that. But are the guidelines consistent across centers on tapering up and down? What exactly are the steroid tapering protocols and is there any subjectivity involved? And beyond just the steroid tapering, are there any other steps incorporated in the trial that can mitigate the placebo response? Thank you.
Matt Gline: Hey, thanks. This is a great question. We will cover a lot of detail on this question at the upcoming call in a couple of weeks. So in part, I'd say stay tuned. Some of that information's in published papers and so on. But the thing I'll say is the steroid taper is mandatory in the study and set out with a pretty clear protocol – in the protocol. And so I think we expect it is being relatively consistently applied here, given the way the study is designed. So yes – and I think the team's done a pretty careful job making sure of that. Again, Ben will talk more about it. And I think a lot of that, by the way, is just like boots on the ground, spending time with the DOC community which is helpful for enrollment, which is helpful for ultimately building those relationships with future prescribers and which is helpful for making sure that people are adhering to the protocol as we've designed it. And then in terms of other steps to mitigate placebo, look, I think in general there's a lot of things you do in a well-run study to make sure you're managing these risks in terms of how you think about discontinuations in terms of how you think about measuring TIS and the time points and so on. And so I think there's a lot that went into the design in terms of that risk. Obviously, ultimately, as I said before, none of that stops the biting of nails. But it's nice to see other DM studies or other myositis studies having relatively well behaved placebo arms. Thank you.
Operator: Thank you. Our next question comes from Andy Chen with Wolfe Research. Your line is open.
Andy Chen: Hey, thank you for taking the question. So regarding DM, again, my understanding is that this is modestly underdiagnosed. Just can you talk about what you believe to be the observable population in the U.S. based on your claims analysis or otherwise, and how that compares to what you believe to be the problems in the U.S. And also a separate question that's related. Do you think off-label Xeljanz is doing better on the market right now than Octagam based on physician feedback? Thank you.
Matt Gline: Great questions. So thank you. And again, we'll talk more about it in a couple of weeks as a partial answer. Look, our view of the DM market has been, 40 plus thousand or 40,000 patients. I think we said 37 based on one study that, as I mentioned before, there's about 34,000 treated patients. So I think that's like one measure of it. One of our competitors has indicated a 70,000 patient number based on their own work. I think to your point there is like a little bit of range. I think that sort of 40,000 to 70,000 patients is probably the right way to think about the size of the amount of dermatomyositis market for the moment. But I agree with you that it could be modestly underdiagnosed and that I expect patients will emerge once a good treatment opportunity exists. When you say off-label Xeljanz versus Octagam I mean, obviously, the direct comparability of like in terms of like physician experience, what I can say is that physicians are very excited for an oral option that's on label. They're very excited for specifically for things that are in the JAK family JAK1 and TYK2. I think we get a lot of enthusiasm from physicians around the program, which I think is in part informed by off label use of Xeljanz is in part informed by the fact that these physicians are used to treating other conditions where JAK inhibitors and similar mechanisms work well for them and is important informed by the overall complexity of dosing patients with IVIg. And then as a reminder relative to Xeljanz, brepo obviously does more than just JAK1 inhibition. And we think both JAK1 and TYK2 have the potential to be meaningful contributors to value here. And we think that is something that physicians, frankly, already in the study understand and we think they will understand it better once we have more of an opportunity to talk to them about the data. Thanks, Andy.
Andy Chen: Thank you.
Operator: Thank you. Our next question comes from Thomas Smith with Leerink Partners. Your line is open.
Thomas Smith: Hey guys, good morning. Thanks for taking the questions. Just on 1402 and the potentially registrational trial design for CIDP. You mentioned in the prepared remarks, it's a bit of a different design relative to some of the other contemporary studies. You don't have the washout period, which I think should help drive enrollment, but you also won't be measuring response rates. Could you just elaborate a bit on why you chose this design and how you're going to optimize for patient selection and then how you expect this data set will help position you commercially with 1402?
Matt Gline: Yes. Thanks. It is a great question. And I'd say, look, there are fundamentally three factors driving the overall change in the way CIDP studies work in the world. One is the FDA, who has made no secret about the fact that they do not like the previous set of designs for CIDP studies. And the agency cares very much about aspects of this design, principally the sort of the direct placebo control versus the randomized withdrawal piece. And then you mentioned this correctly, studies are moving away from these washouts. The truth is that physicians and investigators hate the washouts because they suck for patients. And so I think therefore in a competitive environment for CIDP studies, but also just in general, it's gotten to be pretty important to offer a patient friendly sort of setup here. And then the third thing, which I think enables all of it, is the field broadly has figured out how to select the right patients for CIDP studies. Vastly, vastly better than we knew a few years ago. And so, like in our shadow study for example, we were able to select patients almost all of whom flared on withdrawal therapy during the washout period. And so I think based on the quality of patients that we were able to select for in the bato study, I think we feel like the sort of top of the funnel inflow activities have gotten good enough here that we can offer a patient friendly, no washout solution and still have a good setup on the program. And maybe at some point we'll put out the specific data, but as I said, I think the data from the washout period of the bato study strongly suggests that we are getting the patient population that we want into the study. Thanks very much.
Operator: Thank you. Our next question comes from Yasmeen Rahimi with Piper Sandler & Company. Your line is open.
Unidentified Analyst: Hi, this is Dominic on for Yas. Thank you for taking our questions and congrats on a great quarter. So kind of, I guess a follow-up to the CIDP study. Could you just remind us what the study was powered for key primary endpoint as well as the secondaries? And then on that, what was the rationale for selecting the 600 milligram dose in the study? Thank you.
Matt Gline: So we have not yet said what the study is powered for in terms of primary and secondaries. We have some time there. Maybe just share some more information about the specific sort goals of that study in the coming month. And then in terms of why 600 milligrams, look, I think we put out this really clear data from the bato study showing the under 70 versus over 70 IgG cut points. And we know that lower IgG suppression mattered a lot in the bato data. Deeper IgG suppression mattered a lot in the bato data. And frankly, this is a patient population where it's a severe disease, efficacy is paramount, and we're coming in a competitive landscape where a competitor who does not suppress IgG as deeply in our view is already going to be on market for a few years. So I think for all of those reasons, the 600 milligram dose really sets us up for success. It's also the kind of thing where we think it will help with enrollment, as I think patients want to know, they're getting the deepest IgG suppression, the most potentially efficacious therapy. So a lot of good reasons why that study is built around the 600 milligram dose. Again, this is a very sick patient population, especially if we're choosing the patients correctly. And remember at the beginning of the study, because many patients who are coming in for example, controlled on IVIg and they're being forced to washout and we want the patients who are going to work to really work, it's also a two to one randomized study. So most of these patients will be on drug. Well, thanks. Great question.
Operator: Thank you. That's all the time we have for questions. I'd like to turn the call back over to Matt Gline for closing remarks.
Matt Gline: Fantastic. Thank you, everyone for listening. Thank you to all the teams of both Roivant and Immunovant who get all these filings together. Thank you to the investigators and patients who are working with us on our studies and trusting us with their care. And looking forward to a really exciting important second half of the year ahead here. I guess three quarters of the year, although it feels like it's going fast. So I hope to be back on the phone with all you soon, including in the next couple of weeks for the Priovant myositis event, together with that. Have a great day.
Operator: Thank you for your participation. You may now disconnect. Everyone, have a great day.